Operator: Greetings, and welcome to the Celsius Holdings Incorporated Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] I would now like to turn the conference over to your host, Mr. Cameron Donahue. Thank you, Mr. Donahue, you may begin.
Cameron Donahue: Thank you. And good afternoon, everyone. We appreciate you joining us today for Celsius Holdings Second Quarter 2017 Earnings Conference Call. Joining me on the call today are John Fieldly, Interim Chief Executive Officer and Chief Financial Officer; and Vanessa Walker, Executive Vice President of Sales and Marketing. Following the prepared comments, we will open the call to your questions, and instructions will be given at that time. We have filed our quarterly report with the SEC and issued a press release today. All materials are available on the company's website at celsiusholdingsinc.com under the Investor Relations section. As a reminder, before I turn the call over to John, the audio replay will be available later today. Please also be aware that this call may contain forward-looking statements which are based on forecast, expectations and other information available to management as of today, August 9, 2017. These statements involve numerous risks and uncertainties, including many that are beyond the company's control. Except to the extent required by applicable law, Celsius Holdings undertakes no obligations and disclaims any duty to update any of these forward-looking statements. We encourage you to review in full our safe harbor disclosures contained in today's press release and our quarterly filings with the SEC for additional information. With that, I'd like to turn the call over to John Fieldly for his prepared comments. John?
John Fieldly: Thank you, Cameron and good afternoon, everyone. Thank you for joining us today. We are very excited and pleased to report our second quarter results. Our financial results reflect the continued momentum in our ongoing business. This quarter we reached a monumental milestone with revenues topping $10 million in the second quarter of 2017. In addition, we achieved a 66% year-over-year growth, which was driven by similar gains in both domestic and international operations. We also achieved a positive quarterly net income, driven by our focus, control and management of expenses in both our cost of raw materials and our operating expenses, all while continuing to increase sales volume through our targeted organic expansion. We also reached another important milestone with the up-listing of our stock to NASDAQ Capital Market, following the significant progress we have made in our business over the last several years. Trading on the NASDAQ enables us to communicate with a broader audience, increase our appeal to institutional investors and enhances our trading liquidity and generally broadens the awareness of the CELSIUS brand. Domestically, demand for our products remain robust, with strong reorders again from our existing accounts. Our domestic growth has been exponential over the last several quarters, delivering compounded annual growth rates that approach 50%. And at the same time, the launch of our line extension of products CELSIUS HEAT in our natural line was executed flawlessly and added to our overall growth and offerings. The second quarter was the first full quarter of sales from these products, and early results indicate that it will -- they will both contribute meaningfully in the future. Our international revenues for the second quarter comprised mainly from our Swedish distribution partner, who continues to maintain market position and recently introduced Apple Ginger in the second quarter, with great success. In addition, our international expansion continues, with 2 major events which occurred subsequent to the end of the second quarter. First, we announced our expansion plans in Hong Kong with A.S. Watson Industries, a member of the A.S. Watson Group, the largest international health and beauty retailer in Asia and Europe. With A.S. Watson support, our team in Asia aims to expand our distribution, increase market share and leverage the CELSIUS brand to further grow our international business. Secondly, we recently announced our partnership with Qifeng Food Technology, an international wholesale distributor of food and beverages founded by former Pepsi, Nestlé and Red Bull executives to distribute CELSIUS in China through their nationwide distribution network, commencing in the back half of 2017. Through this partnership, CELSIUS will be available for distribution through a network of over 500 distributors. Qifeng's network of distributors, national experience, proven ability to execute will provide us a strong partner to maximize our exposure and speed to market. I am now going to turn the call over to Vanessa Walker, Executive Vice President of Sales and Marketing, to provide more details on our products and marketing updates.
Cameron Donahue: Thank you, John. We had a very exciting second quarter. Our branding efforts continue to take hold, pioneering our position as a fitness drink with mass appeal, a brand consumed at any time of day for those who wish to live an active, healthy lifestyle. In mature retailers, the year-over-year reorders are showing strong double-digit growth, and retailer data indicates the same momentum. Our tagline, Live Fit, is resonating well and encourages consumers take action to invest in themselves. In addition, our Delicious that Delivers campaign speak to the brand's great new taste profile and clinically proven ability to deliver the claims made on packs. Our pioneering position as a fitness drink has a clear advantage at retail, as the trade recognizes the consumers' desire to move beyond traditional sugary drinks in all categories. Retailers are seeking new ways to bring cutting-edge function to their shelves. We feel we are well positioned to capitalize on this movement. Domestically, year-over-year sales growth continued. And mature direct-ship retail chains, e-commerce and the fitness channel continued to drive our growth. The first natural line extension of our flagship brand is naturally caffeinated, naturally sweetened and available in 6 flavors, 3 sparkling and 3 noncarbonated, and was initially launched during the second quarter in retailers, sprouts and fresh market and was well received by consumers. In addition to our natural's launch, the second product line in our portfolio, CELSIUS HEAT, also a dietary supplement, launched in the second quarter. Phase 1 of the launch focused on gaining distribution in the health and fitness channel and in vitamin shop. HEAT includes the CELSIUS proprietary thermogenic formula MetaPlus Blend and is available in a bigger 16-ounce can size, new to the brand portfolio, as a carbonated pre-workout. HEAT, however, also offers added caffeine and L-citrulline, which is a vasodilator. The new HEAT line is available in 3 flavors, in Inferno Punch, Blueberry Pomegranate and Cherry Lime. We are excited with the initial demand in consumer response from our national fitness channel distribution partners, major fitness club chains and local studios. CELSIUS HEAT was developed for athletic trainers, body builders, military personnel and endurance athletes and is considered the trainer's grade version of our CELSIUS line. On an international front, our Nordic partner continues to execute and perform well. In addition, their recent launch of Apple Ginger, which was well received by retailers and consumers, has brought much excitement. In addition, we continue our global expansion and are capitalizing on global trends, as consumer demand continues its growth trajectory as consumers continue to seek healthier and functional products globally. Our Hong Kong launch is underway, with initial acceptance being very positive. And we look forward to much success in China with our partner Qifeng Foods, who has a distribution network of distributors who are proven, experienced team members with an in-depth knowledge of launching and growing brands in the China marketplace. I will now turn the call back to John to provide financial details and results. John?
John Fieldly: Thank you, Vanessa. Total revenue for the second quarter of 2017 was a robust $10.2 million compared to $6.2 million for the corresponding period in 2016. The 66% growth was driven primarily by a 68% growth in domestic sales, which was driven by a blended growth rate of a 32% growth in retail accounts, mainly driven from growth in existing accounts, and 182% growth in health and fitness accounts, where we continue to see high reorder rates. In addition, our Internet retailer accounts delivered 109% growth rate. In addition, our international sales grew to a -- at a healthy 62% growth year-over-year and mainly comprised of our Swedish distribution partner. Gross profit for the quarter was $4.6 million or 44.6% of revenue compared to $2.8 million or 44.8% of revenue for the corresponding period last year. The increase in gross profit is primarily due to the increases in revenue and reductions in cost of raw materials, offset by increases in promotional allowances, mainly associated with the launch of HEAT. Operating expenses in the second quarter of 2017 decreased $107,000 to $4.1 million, down from $4.2 million in the prior-year period. This decrease was driven in part by an increase in general and administrative expenses, which were more than offset by a 24% decrease in sales and marketing expenses as a result of timing. Our G&A expense for the second quarter of 2017 were $1.6 million compared to $980,000 in the second quarter of 2016. As a percentage of revenue, G&A expense remain roughly the same at 16% and 15.9% of revenue for the second period -- second quarter of 2017 and 2016, respectively. The increase on a dollar basis was primarily driven by an increase in option expense of $340,000 and increases in professional fees of $243,000 and increases in other overhead areas compared to the second quarter of 2016. Total other expense decreased to $39,000 for the second quarter of 2017 compared to $57,000 for the second quarter of 2016. This decrease was due to lower interest expense as a result of a lower outstanding balance. Net income to common shareholders for the second quarter of 2017 was $380,000 or $0.01 per share compared to a net loss to common shareholders of $1.5 million or a loss of $0.04 per share basic and diluted for the corresponding period last year. Net income and net loss attributed to common shareholders is inclusive of preferred dividends for the 3 months ending June 30, 2017, and 2016, which includes preferred dividends of approximately $91,000 and $87,000, respectively. Operating expenses for the quarter included noncash expense, including depreciation, amortization, stock-based compensation, totaling approximately $715,000 compared to $948,000 last year. Adjusted EBITDA for the quarter was $1.1 million compared to a loss of $596,000 for the corresponding period in 2016. Adjusted EBITDA for the second quarter of 2017 excluded nonrecurring items as disclosed. We believe information concerning adjusted EBITDA, a non-GAAP financial measure, enhances the overall understanding of our financial performance. A reconciliation of our GAAP results to this non-GAAP measure was included in our earnings press release. Turning to our year-to-date results. For the first 6 months of 2017, revenues increased 65% to $16.2 million as a result of blended growth rates of a 48% growth in international sales and a 73% growth in domestic sales. Domestic sales increased 38% was derived from growth in retail accounts, and triple-digit growth was derived from both health and fitness accounts and Internet retailer accounts. Gross profit for the first 6 months of 2017 was $7 million or 42.8% of revenues compared to $43 million -- $4.3 million or 43.5% of revenues for the period a year ago. Operating expenses for the first 6 months of 2017 increased $1.4 million to $8.3 million, up from $6.8 million in the prior-year period. This increase was driven by a $1.8 million increase in general and administrative expenses, which was partially offset by a $402,000 decrease in timing of sales and marketing activities. Total other expense for the first 6 months of 2017 was $87,000 compared to $114,000 in the first 6 months of 2016, a decrease of $27,000 as a result of lower interest expense and a lower outstanding balance. The company's net loss attributed to common shareholders for the first 6 months of 2017 was $1.6 million or a negative $0.04 per share basic and diluted compared to a net loss of $2.8 million or a negative $0.07 per share basic and diluted for 2016. Operating expenses for the period included noncash expense, including depreciation, amortization, stock-based compensation, which totaled approximately $1.6 million compared to $1.4 million last year. Adjusted EBITDA for the first 6 months of 2017 was a positive $47,000 compared to a loss of $1.5 million for the year-ago period. Turning to the balance sheet. As of June 30, 2017, the company had cash and cash equivalents of $20 million and working capital of $26.1 million. At this time, we believe our current cash balance will be sufficient to meet our anticipated cash needs over the next 12 months. Cash used in operations for the first 6 months of 2017 totaled $2.7 million compared to $2.8 million in the first 6 months of 2016. On another note, we would like to inform everyone that we will be presenting at the upcoming B. Riley Consumer Conference being held September 28 in New York City. In addition, we'll be attending the Maxim Beverage Conference, which is focused on the leading innovators in health and functional beverages, also held in New York City and scheduled for Thursday, November 9. We look forward to seeing everyone there who is able to attend. That concludes our prepared remarks. Operator, you may now open the call for questions. Thank you.
Operator:
John Fieldly: Thank you, Jim. Our second quarter results demonstrates the excitement and demand for our products. CELSIUS is truly a new company from where we were several years ago. We're building upon our core business and leveraging opportunities both domestically and abroad. I'm very proud of our dedicated team, and I thank our investors for their continued support. Thank you, everyone, for your interest in CELSIUS today, and have a great day.
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time. Have a wonderful rest of your day.